Operator: Good morning ladies and gentlemen. Thank you for standing by. Welcome to the KP Tissue Second Quarter 2023 Earnings Conference Call. At this time, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] Before turning the meeting over to management, I would like to remind everyone that this conference call is being recorded today, Thursday, August 10, 2023. I would now like to turn the call over to Mike Baldesarra, Director, Investor Relations. Please go ahead.
Mike Baldesarra: Thank you, operator, and good morning, ladies and gentlemen. My name is Mike Baldesarra, I'm the Director of Investor Relations of KP Tissue Inc. The purpose of the conference call is to review the financial results of the second quarter of 2023 for Kruger Products Inc., which I'll refer to as Kruger Products going forward. With me this morning is Dino Bianco, the Chief Executive Officer of KP Tissue and Kruger Products; and Mark Holbrook, the Chief Financial Officer of KP Tissue and Kruger Products. The following discussions and responses to questions contain forward-looking statements concerning the company’s activities. Forward-Looking statements involve known and unknown risks and uncertainties, which could cause the company’s actual results to differ materially from those in the forward-looking statements. Investors are cautioned not to rely on these forward-looking statements. The company does not undertake to update these forward-looking statements except if required by applicable laws. There’s a page at the beginning of the written presentation which contains the usual legal cautions, including as to the forward-looking information, which you should be aware of. I’d like to point out that the figures expressed in today’s call are in Canadian dollars, unless otherwise stated. The press release reporting the Q2 2023 results were published this morning and will be accessible from our website at kptissueinc.com. Please be aware that our MD&A will be posted on the website and will also be available on SEDAR. Finally, I would ask that during the call you’d to refer the presentation, we have prepared to accompany these discussions, which is also available on our website. We’d also appreciate that during the Q&A period for you to limit your questions to two. Thank you for your collaboration. Ladies and gentlemen, I’ll now turn the call over to Dino Bianco, our CEO. Dino?
Dino Bianco: Thank you, Mike. Good morning, everyone, and thank you for joining us for our second quarter earnings call. We are pleased that margin recovery, along with improved sales volume and a better mix in our Consumer business, generated strong Adjusted EBITDA in the second quarter of 2023. Ongoing cost management initiatives, including productivity gains and cost controls, also contributed to increasing profitability. In addition, our Away-From-Home segment delivered a fourth consecutive quarter of positive Adjusted EBITDA to maintain its growth momentum. As a result, our financial performance in the second quarter normalized versus a more challenging market and operating environment in the same period last year. On a sequential basis, revenue and Adjusted EBITDA continued to improve, with solid incremental growth. Looking ahead to the second half of 2023, we anticipate an increasingly favorable landscape as input costs trend downwards, TAD Sherbrooke and the Sherbrooke Expansion Project continue to ramp up production capacity to meet customer demand, and margins are restored to their pre-pandemic levels. Now let's take a look at our quarterly numbers on slide six. Revenue increased 17.3% to $466.3 million in the second quarter of 2023 on the strength of selling price increases across all segments and regions in 2022. A favorable sales mix and higher sales volume in our Consumer segment as well as positive foreign exchange impact on U.S. dollar sales. Revenue in Canada rose 10.8% year-over-year in the second quarter, while in the U.S. it grew 27.1% as the market benefited from strong volume in both our Consumer and AFH segments. Adjusted EBITDA was up 365.8% year-over-year to $55 million in the second quarter off a low 2022 base due to several factors, including selling price increases, favorable sales mix and higher sales volume, Memphis plant operations improvement and lower freight rates. These factors were partially offset by inflation on manufacturing costs, higher warehousing and SG&A expense and an unfavorable foreign exchange impact. On slide seven, pulp average prices in Canadian dollars decreased double-digits in the second quarter of 2023 from the previous quarter, while year-over-year prices declined to lesser extent. NBSK and BEK average prices fell 8.9% and 11.4% year-over-year in Q2 2023. And based on industry analysis, pulp prices are near or at the bottom of the price cycle. Let's move on to our Sherbrooke operations and expansion on slide eight. TAD Sherbrooke continues to form well surpassing production expectations on the paper machine and converting. Both our facial lines scheduled to launch late in fourth quarter and our paper machines slated for the end of 2024 are still tracking to plan but we are keeping a close eye on supply chain and inflationary pressures. I'm also pleased to report that the startup of our most recent converting line which was started up in Q1 2023 was the fastest of all our Sherbrooke converting lines due to OpEx learnings, staff maturity, and artificial intelligence implementation. As we look to the new facial line and paper machine, the hiring process is progressing well and we are continuing to onboard employees to manage those lines. Turning to our Memphis operations on slide nine, we have maintained our focus on TAD manufacturing for both converting and paper machine assets after the shutdown of LDC assets earlier in the year. The new facial tissue line which was recently strengthen with digital twin AI tools to optimize productivity, continues to exceed its ramp up curve. Sales volume in the cost structure have also improved at Memphis during the last two quarters, while employee turnover has stabilized following the shutdown of the legacy operations. Now, let's pivot to brand support on slide 10. As indicated last quarter, we plan on reinvesting in our brands to recover share in 2023. Q2 2023 marketing was focused on multi-brand activities highlighted by the NHL Bring Home Stanley Cup promotion, that offers three pairs of VIP experiences to winning participants for the Stanley Cup Finals. Other key marketing activities during the quarter included our made in Canada drive to support the positioning of our Canadian brands. The successful launch of the second chapter of our Unapologetically Human campaign entitled 'Love is Messy'. The release of new Scotties House and Home designed and facial tissue. And finally, we continue to make strategic shopper investments behind White Cloud at key accounts in the U.S. Moving to slide 11, the data presented is taken from Neilson, it shows market share performance over a 52-week period ended June 17, 2023. The data reflects that Kruger Products share has incrementally improved from the previous quarter, particularly for bathroom tissue and paper towels. We're seeing improvement in our branded products driven by pricing stability in the marketplace and a return to a more normalized promotion agenda at retail. Looking at Away-From-Home on slide 12, volume strength reflects market recovery and accelerated growth at some key customers. As mentioned earlier, this business delivered a fourth consecutive quarter of positive adjusted EBITDA in Q2 2023, as we are seeing structural signs that this profitability is sustainable. However, we will keep monitoring the potential impact of any economic slowdown on this business. I will now turn the call over to Mark. Mark?
Mark Holbrook: Thank you, Dino, and good morning, everyone. Please turn to slide 13, for a summary of our financial performance in Q2 2023. As Dino mentioned earlier, margin recovery and strong topline growth generated adjusted EBITDA of $55 million in the second quarter. Net income totaled $14.5 million in the quarter, compared to a loss of $35.5 million in Q2 of 2022. The increase was primarily due to higher adjusted EBITDA and a foreign exchange gain. These factors were partially offset by greater income tax and depreciation expense, higher interest expense and other finance cost and a loss on the sale of fixed assets. In the quarterly segmented view on slide 14, consumer revenue increased 17.5% year-over-year to $383.5 million in the second quarter, and 1.8% sequentially compared to Q1 2023. Consumer segment revenue rose both in Canada and the U.S. In the Away-From-Home segment, revenue grew 16.4% year-over-year to $82.8 million and 11.2% sequentially from the previous quarter. Consumer adjusted EBITDA totaled $53.3 million in the second quarter compared to $14.3 million in Q2 of 2022, with an adjusted EBITDA margin of 13.9% versus 4.4% for the same respective period. Sequentially, Consumer adjusted EBITDA was up $2 million or 3.8% from Q1 of ‘23. For our AFH business adjusted EBITDA managed to $5.8 million in the second quarter compared to negative $0.5 million in Q2 2022, with a positive margin of 7%. Sequentially, adjusted EBITDA for Away-From-Home was up $4.9 million from Q1 of 2023 as Q2 is seasonally a stronger quarter. On slide 15, we review year-over-year revenue growth for Q2, which improved by $68.8 million or 17.3%. This growth is attributable to the carry forward of selling price increases from 2022 across all segments and regions, favorable sales mix and a higher sales volume from our Consumer segment as well as a positive foreign exchange impact on U.S. dollar sales. On a geographical basis, revenues in Canada rose $25.9 million, or 10.8% year-over-year, while U.S. revenues grew $42.9 million or 27.1%. On slide 16, we provide additional insight into profitability in the second quarter. Adjusted EBITDA increased by $43.2 million to $55 million, representing a margin of 11.8%. That's from a trough of $11.8 million in Q2 last year, or a margin of 3%. The increase in adjusted EBITDA was primarily due to higher selling prices relative to the second quarter last year, favorable sales mix and higher sales volume, improvement in our Memphis plant operations and lower freight rates. These factors were partially offset by inflation on manufacturing costs, higher warehousing and SG&A expenses, and the unfavorable impact of foreign exchange fluctuations. Now let's turn to slide 17, where we compare Q2 revenues sequentially to Q1 2023. Revenue improved by $15.3 million or 3.4%, mainly due to higher sales volume in both our Consumer and AFH segments, partially offset by a slightly negative foreign exchange impact on U.S. dollar sales. Geographically revenue in Canada rose by $4.4 million or 1.7% sequentially, while revenue in the U.S. grew by $10.9 million or 5.7%. On slide 18, adjusted EBITDA in the second quarter increased sequentially by $5 million or 10.2%, on higher sales volume and lower freight costs. These factors are partially offset by higher warehousing costs, greater plant’s overhead and absorption from inventory reduction and higher SG&A expenses, particularly marketing spending. Turning to our balance sheet and financial position on slide 19, our cash position stood at $88.2 million at the end of the second quarter, an increase of $42.9 million from Q1 2023. Long-term debt at quarter end totaled $1.0777 billion, down $18.4 million from the end of the previous quarter. Net debt decreased by $61.6 million sequentially to $1.0236 billion as we remain disciplined with capital spending and generated cash from reduced working capital. Consequently, our net debt to last 12 months adjusted EBITDA ratio decreased to 5.7 times in the second quarter, from 7.9 times in Q1 of '23 and 8.1 times in Q2 of 2022. Leverage improved on the strength of lower net debt and higher adjusted EBITDA in the last 12 months. We expect deleveraging to continue in 2023, despite ongoing investments in our Sherbrooke Expansion project, as adjusted EBITDA keeps growing on a last 12 months basis. At quarter-end total liquidity, representing cash and cash equivalents and availability from revolving credit agreements, stood at $181.6 million, in addition $13.8 million of cash was held for the Sherbrooke Expansion project. I'll conclude my section by reviewing capital expenditures on slide 20. Total CapEx in Q2 2023 was $42.8 million, including $36.9 million for the Sherbrooke Expansion project. At the end of the second quarter, CapEx stood at $77.4 million. We are maintaining our CapEx forecast between $200 million and $230 million for 2023, as spending related to the Sherbrooke Expansion project and regular CapEx is expected to pick up significantly in the second half of the year. Thank you for joining us this morning, and I'll now turn the call back over to, Dino.
Dino Bianco: Thank you, Mark. Please turn to slide 22 for my closing comments. We are steadily progressing along the recovery curve highlighted by strong revenue and margin improvement in the second quarter to drive adjusted EBITDA growth. We are managing pricing margins given changing input costs. We are increasing our marketing investment to support brand equity and grow share for the long-term. Our Sherbrooke Expansion Project is moving forward with the startup of the facial line schedule for the end of this year and the paper machine for the end of next year, while the Memphis turnaround is progressing according to plan. Our Away-From-Home segment is delivering against sustainable profit model on the strength of our four consecutive quarters of positive adjusted EBITDA. As Mark mentioned, our leverage ratio is progressively coming down as adjusted EBITDA improves. And finally, we'll keep investing in our organization and culture to drive future growth. Now let's turn our attention to the outlook for the third quarter of 2023. As commodity and other input costs decline, we will focus on maintaining margins while continuing to reinvest in the business to drive long-term value. Accordingly, adjusted EBITDA for Q3 2023 is expected to be in the range of Q2 2023. We will now be happy to take your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Hamir Patel of CIBC Capital Markets. Please go ahead.
Hamir Patel: Hi, good morning.
Dino Bianco: Good morning, Hamir.
Hamir Patel: Dino, when do you expect to fully realize the benefit from the year-to-date decrease that we've seen in benchmark pulp prices?
Dino Bianco: Well, we're starting to see some of it already, even though I think, Mark may have alluded to this, year-to-date pulp is still up versus prior year, but we're starting to see it moving through our P&L. There's usually a lag. It could be two to three months based on, inventory moving through the system. So, we should start seeing more of that in the second half of the year, Hamir.
Hamir Patel: Great. Thanks, Dino. And, Dino, could you speak more to your White Cloud investments that you mentioned, and how you see your market share in the U.S. evolving across your Private Label and White Cloud offerings?
Dino Bianco: Yes. On the White Cloud basis, I think I mentioned this before, our approach there is, to strategically have that product, that customers where it makes sense and it fits. So, we don't want to go wide across the whole retail of landscape. We want to pick key customers and focus on growing with them, whether there's an opportunity. And that's what we've been doing. And our investments, particularly after a difficult year last year, and starting this year, our investments have been more tactical in terms of driving awareness and growth, as it relates to the marketing side and continuing to build share at key accounts. I'm very pleased with the direction we have moved in this narrow but deep approach to building the brand, on the customer front, and we will continue to invest as we are able to build a brand, we think it has a lot of equity. We know the quality is top level, and there's a lot of affinity for that brand based on the longevity of that brand. So we'll continue to invest.
Hamir Patel: Great. Thanks, Dino. And just the last question I had for Mark, any preliminary CapEx estimate you can provide for 2024?
Mark Holbrook: Well, we have provided our ‘23 forecast and we would provide 2024 when we go to our third quarter call, Hamir, that would be appropriate at that point, I think.
Hamir Patel: Okay. Fair enough. Thanks. That’s all I had. I’ll turn it over.
Operator: Our next question comes from Kasia Kopytek of TD Securities. Please go ahead.
Kasia Kopytek: Hi, good morning, everyone. It's Kasia on the line. I wanted to ask about EBITDA margins. Last quarter, you talked about targeting mid-to-high single digits for the Away-From-Home segment. What about the company as a whole? Once you've rolled out and implemented all these initiatives that you talked about, where do you see aggregate margins for the company settling at?
Dino Bianco: Yes, good question, Kasia. We have three different types of businesses. So, I think we, actually have four different types of businesses. We have a branded business in Canada that has a certain margin structure. We have a Private Label business in Canada that has a certain margin structure. We have an Away-From-Home business that has a different margin structure. We have a U.S. primary private label business that has different margin structure. So, depending on the relative growth of each of those segments, that'll change the weighted average of our margin structure. We have targets within each of those segments that, I won't disclose with you, but I think you could probably figure out how they rank, based on the business models that exist there. So, I think we should -- this company on a weighted average business should be low-teens, just on a weighted average business. Obviously, there'll be segments that are much higher than that and segments that will be lower than that, but we should be in the low-teens, and we're starting to progress toward that.
Kasia Kopytek: Got you. Okay. And then when I look at historically, I mean, the best you've ever done was during the pandemic that was 17% and pre-pandemic, it was 15%. So, do you think you can get there? 15%?
Dino Bianco: I think that to me would be in the low-teens. Yes.
Kasia Kopytek: Okay. And, just how much is private label of your business right now? Can you disclose that?
Dino Bianco: No, I can't. Obviously, in the U.S., it's most of the business. So, let me be very clear other than White Cloud, on the consumer side, mostly Private Label, I'm not talking here, so let's just say its north of 90%. In Canada, it's a smaller role and our smaller business, and in Canada, we work strategically with customers where we support our brands, and the category through Private Label supply. So, there's a strategic approach and we use it accordingly, with a few key customers here where it makes sense.
Kasia Kopytek: Right, understood. And when you say 90% for the states, is that on a volume basis or just generally speaking, maybe on a dollar sale basis?
Dino Bianco: I think either volume or revenue would be the same --
Kasia Kopytek: Okay.
Dino Bianco: Given the dominant portion of Private Label down there.
Kasia Kopytek: Got it. Fair enough. And last one for me, just sticking with this theme, and when I look at your brand and competitors, their EBITDA margins are quite a bit north of your mid-teen target. Anything structural that you would say is at play here of why you can't bridge towards perhaps even higher margins, relative to your --
Dino Bianco: Well, as I said, we have different businesses that make different margin levels. The number I gave you is weighted average. So, we have a branded business. You said our branded competitors, so we have a branded business that makes a higher margin and we have Away-From-Home, which we've talked 5% to 10%, which makes a lower mid business. So, we feel segment-by-segment, we are equal or better than our competitors, if you look segment-by-segment.
Kasia Kopytek: Got you. Okay. Thanks, Dino. I appreciate that context. I’ll turn it over.
Operator: Our next question comes from Paul Quinn of RBC Capital Markets. Please go ahead.
Paul Quinn: Yes, thanks. Good morning. Just on the outlook on Q3. It's so conservative in light of you'll have declining pulp prices, freight and probably a couple of other costs inputs. But why go so conservative, Dino?
Dino Bianco: Hi, Paul. Good question. I mean, it's a volatile period. There's a lot of moving pieces. This business can be made or lost on the cycles, this down cycle and the up cycle. And with pulp prices changing, capacity changes in the marketplace, customer demand is changing, I think we're being reasonable on our approach. Obviously, our goal would be to beat that. But just given -- it isn't just a pulp coming down story, right, there's capacity plays, there's pricing movement in the marketplace, and I think we're taking a reasonable approach with that. If it moves in our favor and if the category in the market moves in our favor, certainly we would be able to beat that, and if it doesn't, then hopefully we've protected against that with our call.
Paul Quinn: Okay. And then just on customers, any pushback yet? I mean, your customers are seeing lower pulp prices and you guys have successfully implemented a number of price increase on the Tissue side. Any pushback on customers in terms of pricing that would stall out your margin growth?
Dino Bianco: Yes, sure. As I said earlier, this business competitively only allows you to work within a certain margin structure. And, the key is how we manage the up swings and the down swings. And obviously, last year, us and a lot of tissue manufacturers lost on that because of the speed of the of the inflation that happened and the breadth of it and the lag that happens before you get pricing. This year we're seeing the other side of that. I think customers understand there is a lag involved. Customers understand there is volatility and clearly as we look at pricing for the future, let's say for the whole second half. We take a couple of different approaches. In Canada, we are the market leader and I've always believed that role of the market leader is to establish a healthy margin structure for the category. A reasonable but healthy margin structure, we will try to do that and we'll see how that plays out, which may mean, and will mean, price declines if these commodity costs continue to fall. In the U.S., we're more of a follower. So it depends what others are doing and how we have to play because we're a smaller player there and we'll have to be competitive. So you are definitely going to start to see deflation in this category. Some are contractually, based like a lot of the AFH business, some of our private contracts that will naturally has a deflation factor within that. The magic will be in -- I'm not worried about our behavior. Certainly, we know how we want to approach this, but at the same time, we want to make sure we're competitive and we want to make sure that our business is strong, our relationships and our customers remain strong and our brands remain strong. So that's where the black box is. Paul, we'll just have to manage with this as it continues to change. And that ties back a little bit to the Q3 call that we made.
Paul Quinn: Alright. Thanks very much. Best of luck.
Operator: Our next question comes from Zachary Evershed of National Bank Financial. Please go ahead.
Unidentified Analyst: This is actually Nathan calling in for Zach this morning. So my first question is with respect to your cost efficiency initiatives, how far along your process are you and how much further do you think you can extract from that?
Dino Bianco: Well, I guess what I would say Nathan is we have -- every year we undertake productivity initiatives or cost efficiency initiatives, whatever you want to call them. I think every company does that as they try to offset costs through efficiencies and effectiveness in the network. Most of it is in the production area, but there are other areas like supply chain that we do that as well. So, every year we do that, it's baked into our DNA as a company. We accelerated that coming out of last year and into this year just given the magnitude of the cost increases. I'm very proud of how organization has responded. It is a muscle that's well developed. We had to do more of it, but we knew what to do and how to do it. And at the same time do it without jeopardizing product quality or integrity of our business. So, I would say we're very far along. I'm very pleased with the progress and we will hit our internal number, which of course, we don't share, but we will hit our internal number as it relates to productivity this year.
Unidentified Analyst: And given the trade downs typical in the face of inflation. How are you evaluating the effectiveness of your marketing spend?
Dino Bianco: Well, I, I would say the trade downs have stabilized. In fact, they're probably returning more to a normal mix we start to see -- I mentioned in the last few quarters as pricing has stabilized customers are returning to regular promotion activity. We believe our brands will continue to grow I think the marketing piece of it is even more important when you have high inflation to make sure your brands stay on the radar. We did move more of our marketing to transactional type marketing versus last year versus doing big advertising. This year, we're moving -- we're adding more equity, what I call equity advertising, which is the long term building of the brand, while still continuing to do tactical in store activity. So it's a mix. Marketing is a mix. It's not just a TV advertising, it's social, it's digital, it's in store, it's PR, it's promotions, it's video. So we use that mix accordingly and last year we spent more of that mix to drive sales short term. This year we're maybe balancing it more to drive still sales but longer term equity.
Unidentified Analyst: Thanks. I will turn it over.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Dino Bianco for any closing remarks.
Dino Bianco: Great. Thank you all for joining us on the call today. We look forward to speaking with you again following the release of our third quarter results. Thank you, and have a great day.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and a have a pleasant day.